Operator: Good day and welcome to the EVERTEC Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kevin Hunt of Investor Relations. Please go ahead.
Kevin Hunt: Thank you and good afternoon. With me today are; Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent periodic SEC report. During today's call management will provide certain information that will constitute non-GAAP financial measures under SEC rules such as, adjusted EBITDA, adjusted net income and adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides which are available in the Investor Relations section of our company website at www.evertecinc.com. I'll now hand over the call to Mac.
Mac Schuessler: Thanks Kevin and good afternoon everyone. We have a lot to cover this afternoon. Beginning on Slide 4, I would like to provide an overview of our call today. I will start with a summary of our financial results and business highlights for 2021 followed by a walk-through of the strategic transformation that has occurred at EVERTEC since 2015 and how we have evolved today. I will next cover the announcements related to our relationship with Banco Popular and then provide some color regarding our announcements on Latin America. Finally, I'll provide an overview of the Puerto Rico economic environment and our viewpoint on Latin America. I will then turn the call over to Joaquin to cover 2021 results as well as our outlook for 2022. Beginning on Slide 5, let me start with some highlights from our 2021 results. We delivered a record year with $590 million in revenue, an increase of 16% year-over-year. We had a strong finish in Q4 with the results above our expectations including a particularly impressive month of December. Most satisfying was our LatAm growth of 29% in Q4 and 25% for the year, driven by our successful partnerships with Santander and Mercado Libre, the expansion of our digital platform Place2Pay and organic growth in Central America. Our earnings and cash flow performance were even more impressive with adjusted EBITDA growing 23% for the year and adjusted EPS growing 32%. In addition to the strong financials, business highlights include the announcements today regarding Popular as well as those in Latin America which I will discuss in a moment. In 2021 we continue to generate significant operating cash flow of $228 million for the year and we returned approximately $39 million to our shareholders through dividends and share repurchases. Additionally, our liquidity remained strong at $386 million as of December 31. We are also pleased to announce that we have increased our authorization for buybacks to $150 million providing increased flexibility to execute on our capital allocation strategy. To provide context of today's announcement please turn to Slide 6. Since 2015, we have been in the process of a strategic transformation that has included five key imperatives. The first, was to invest in and improve our service and infrastructure by designing new metrics and a better organization to improve execution and increase customer satisfaction. In addition, we invested in new infrastructure operations and information security and capabilities. Second, there was a focus through M&A to expand our geographic footprint in Latin America which allowed us to enter markets such as Colombia, Chile, Uruguay as well as deepen our presence in some of our existing markets. Third, we focused on accelerating product development and innovation to ensure that we were building products that our customers wanted and needed. We created a new organization solely dedicated to product management and development. This team Evolve ATH Móvil in Puerto Rico transformed the PayStudio platform into a service model for LatAm and localized our Place2Pay gateway in multiple countries. Fourth, regarding Popular, there's been a focused effort to strengthen that relationship by implementing tools to better assess client satisfaction across multiple constituencies within the bank. Over the years we have improved our SLAs, introduced new ones for services that were not previously measured and even increased penalties for missed SLAs. We have also established pricing tiers on certain products to encourage collaboration and mutual growth. That brings us to the fifth imperative in our transformation extending and modifying the agreements with our largest customer Popular. Turning to Slide 7, I will cover some details of this accomplishment. First, we are pleased with the extension of our key payment contracts. We can drive our growth through this predictable long-term revenue stream and provide certainty in our cash flow. Our Merchant Acquiring agreement which was scheduled to expire in 2025 was extended an additional 10 years through 2035. We also modified the agreement to include a revenue share provision consistent with industry practices that we believe will incentivize Popular to help us grow that portfolio. Our ATH network agreement which was expiring in 2025 was extended for an additional five years through 2030, committing Popular to the continued issuance and support of the ATH network and our services in their processor including, ATH Móvil. And further we're extending our master services agreement for three years through 2028. Modifications of the MSA include the elimination of the exclusive services requirement, adjustment to the CPI clause for existing services and the inclusion of annual minimums established through 2028. All of these changes, we believe will incentivize Popular to continue being a key strategic partner for the foreseeable future. Second, we are divesting certain assets to Popular that are exclusively used by them and are not part of EVERTEC's long-term growth and investment strategy. In return for these assets, Popular is exchanging EVERTEC stock with approximately $197 million. This sale demonstrates our desire to focus on higher-growth segments while reducing our exposure to single client products consistent with our long-term strategy. Third, we expect to eliminate the regulatory hurdles necessary to execute M&A and investment activities. Popular has agreed to reduce their voting interest in EVERTEC to 4.5% over a period of three months after the close of the transaction through either the sale of shares or conversion to nonvoting preferred shares. At that point we believe EVERTEC will no longer be deemed to be a subsidiary of Popular for purposes of the Bank Holding Company Act. And thus, we will no longer be subject to regulation and oversight for the Board of Governors of the Federal Reserve System. Given the increased competition for M&A transactions and our possible interest to make investments beyond what the regulations permit this is a key aspect of today's announcement and should provide increased flexibility and agility to pursue growth. Turning to Latin America highlights on Slide 8. We're excited about the success of our two key partnerships implemented in 2021. The first is Mercado Pago the payment subsidiary of Mercado Libre. As you recall, we had a very successful debit card launch in Mexico where we exceeded our projections for cards issued by over 300%. Based on the success of this initiative we are confident that we will have further opportunities in the region with Mercado Libre. Second as you recall Santander's payment arm, Getnet in Chile has exceeded their projection for enrolled merchants by over 17,000. Consequently, we have now expanded our relationship with Getnet into Uruguay again using our proprietary technology to enable the bank to acquire merchants in the country. These announcements are gratifying testament to the progress we've made to organically expand in the region. Additionally in Latin America today we announced the acquisition of BBR a transaction that we expect to close by mid-2022 subject to customary regulatory approvals. This acquisition will allow us to expand our capabilities in Chile where BBR services over 30.000 terminals. It also gives us direct access to larger retailers in the country to use a more integrated and customized form of payment acceptance. BBR also services over 12,000 terminals in Peru which opens a new country for us. Peru is a country dominated by duopoly which we believe will provide further opportunities of growth for EVERTEC as that market opens. I would now like to turn to the constructive environment we see ahead in Puerto Rico and Latin America that we believe will provide a backdrop to fuel our future growth. Starting on Slide 9. The Puerto Rico economic environment is better than it has ever been. As you can see economic indicators continue to improve and in some cases have now surpassed pre-pandemic levels. I will point out two key statistics on this page. The first is the labor participation rate of 44.2% which is at the highest level since 2010. As we have mentioned in the past, 2021 benefited from the inflow of pandemic-related federal stimulus funds resulting in increased consumer spending. We are now noting that good portion of the federal funds received in Puerto Rico were deposited in local banks. As such perhaps the most impressive indicator on this page is the individual and commercial bank deposits in Puerto Rico which have increased 41% over the past two years from $42.2 billion to $59.6 billion. These are additional funds that should translate into future spending that will continue to drive growth for EVERTEC. Turning to Slide 10. We'll provide an overview of federal funding for Puerto Rico. As you can see 2021 was an exceptional year in terms of funding given the significant impact from COVID-19 relief. As we look forward, we are encouraged that federal funds are expected to continue to flow into the island. This detail shows you the economic disaster funds, COVID-19 relief, other federal benefits and inflows related to the infrastructure bill are expected to provide approximately $10 billion in stimulus that will flow through the economy in both 2022 and 2023 which represents approximately 15% of the island's GNP. We believe that this level of funds flow should remain a strong stimulus for the economy. And finally turning to Slide 11. As many of you may have read Puerto Rico debt restructuring has been approved by the bankruptcy judge assigned to the PROMESA proceedings. And this will cut the island's debt roughly in half from $70 billion to approximately $34 billion. The left side of the slide shows you the components which provides stability to the economy, while reducing the annual debt service from $3.9 billion to $1.15 billion. This will allow the Puerto Rican government to get back to making investments that will improve areas such as education, health and public safety and continue to work on measures that make Puerto Rico a better place to do business. Now turning to Latin America on Slide 12. We highlight some data that shows the region is primed for growth. As we have noted in the past Latin America continues to be underbanked when compared with more mature economies around the world presenting a significant opportunity for us as these markets are on average twice as large as Puerto Rico. Credit card penetration and consumer spend on cards in our core markets is significantly lower than that we see in the US. As an example, Chile, Mexico and Colombia are particularly interesting and areas of focus for our company. Next turning to Slide 13. Given the nature of the opportunity that we have outlined EVERTEC is as well positioned as we have ever been in Latin America. Since 2015 we have doubled our offices in the region more than tripled our employees and increased revenues from $37 million to $106 million, a compounded annual growth rate of approximately 19%. Additionally, with the BBR acquisition our presence will grow into Peru. This is quite a contrast to what this map looked like in 2015 when we had no presence at all in South America. We believe EVERTEC is well positioned to be the regional payments processing leader. We have now extended and reestablished our relationship with Popular creating a roadmap for growth in our main regions. We've also established an enviable footprint of people and products in Latin America and a more flexible structure for M&A going forward. Given the state of our key markets and the expected benefits from the transactions announced, we are more optimistic than ever about our company's future. In closing we believe that our employees are the key ingredient for successful innovation and a high-performing workforce. I want to thank all of our dedicated team members for their commitment throughout 2021 and for building a strong foundation for growth in 2022 and beyond. I'll now turn it over to Joaquin to provide some comments on our 2021 results and our 2022 outlook.
Joaquin Castrillo: Thank you Mac and good afternoon everyone. Turning to Slide 15. I'll first review the fourth quarter and full year results for EVERTEC. Total revenue for the fourth quarter was $155.2 million, up approximately 16% compared to the prior year. Fourth quarter results were above our expectations as transaction revenue in Puerto Rico increased as a result of a return to more normal seasonal spending patterns, the continued benefit of federal funds, as well as onetime hardware and software sales in the quarter. Revenue in Latin America continued to grow very well at 29% for the quarter as we continue to see benefits from client implementations completed early in the year as well as healthy organic growth. Adjusted EBITDA for the quarter was $75.9 million, an increase of 19% from the prior year quarter, while adjusted EBITDA margin increased by 130 basis points to 48.9%. The higher margin was mainly driven by revenue growth in our Payments segment both in Puerto Rico and LatAm which are highly scalable partially offset by higher personnel costs and cost of sales related to hardware and software sales. Adjusted net income for the quarter was $52.6 million, an increase of 23% year-over-year. And adjusted EPS was $0.72, an increase of 22%. For the full year total revenue was $589.8 million, an increase of 16% from the prior year, a record level that represents a substantial increase from the 5% growth reported in 2020. The strong year-over-year growth in Puerto Rico was driven by the inflow of COVID-related federal funds early in the year higher ATH Móvil and ATH business transactions, the impact from the expansion of our relationship with FirstBank and the continued benefit in our Business Solutions segment from higher volumes in our digital channels. The increase in Latin America reflects the acceleration of new clients organic growth from existing customers and the expansion of our payment gateway Place2Pay which we have now localized and rolled out in many of the countries where we have a presence. Adjusted EBITDA was $294.8 million an increase of 23% with an EBITDA margin of 50%, a 290 basis point increase from the prior year and an all-time high for EVERTEC. The increase in margin was driven primarily by revenue growth in our scalable payment segments and efficient cost management across all categories. Adjusted net income was $199.7 million, an increase of 32% from the prior year and adjusted EPS of $2.74 also increased 32%. Moving to Slide 16, I will now cover our fourth quarter results by segment beginning with Merchant Acquiring. Revenue increased 27% year-over-year to $37.2 million driven by an increase in sales volume of approximately 27% as we saw a return to more normalized holiday season spending patterns that also shifted volume towards higher spread verticals. We also saw the benefits of the FirstBank expansion earlier in the year and which we will anniversary in Q1, 2022. We continue to have a higher-than-normal average ticket which also drove a higher spread per transaction. Adjusted EBITDA for the segment was $18.6 million and adjusted EBITDA margin was 50% up 30 basis points from the prior year. The margin increase was primarily driven by the strong revenue growth and high spread per transaction consistent with what we have been seeing all year. On Slide 17 are the results of the Payment Services Puerto Rico and the Caribbean segment. Revenue in the quarter was $41.8 million, an increase of 22% from the prior year. The revenue increase was driven by POS transaction growth of approximately 18% reflecting a return of seasonal spending patterns and an increased level of confidence by consumers going back to physical shopping. ATH Movil and ATH Business continue to grow well at 27% year-over-year and contributing an incremental $1 million in revenue. We also benefited from the effect of intercompany revenues as we deliver processing services to our Latin America segment supporting their growth. Adjusted EBITDA was $23.7 million up 24% from the prior year quarter. And adjusted EBITDA margin was 56.8% up 80 basis points over the prior year quarter. The increase in margin was due primarily to the higher revenue partially offset by an increase in personnel costs third-party processing fees and cloud-related expenses. On Slide 18 are the results for Payment Services Latin America. Revenue in the quarter was $28.3 million, up 29% year-over-year with growth driven by new client implementations that went into production earlier in 2021, as well as organic growth from existing clients. Adjusted EBITDA was $11.5 million, up 29% from the prior year with adjusted EBITDA margin of 40.7% relatively flat when compared to the prior year quarter as the revenue increase was partially offset by increased fees for transaction processing and monitoring services from the Payment Services Puerto Rico segment. Turning to Slide 19 you will see the results for our Business Solutions segment. Revenue was $64.4 million, an increase of 6% from the prior year. The increase was driven by onetime revenue from hardware and software sales of approximately $3 million and an increase in online banking services as we continue to benefit from the shift to digital channels, as well as the benefit from the new printing contracts entered during the year. Adjusted EBITDA was $30.2 million roughly flat with the prior year quarter while adjusted EBITDA margin was down 320 basis points from the prior year to 46.9%. The decrease in margin was a result of a change in the mix of business as well as higher operating expenses. Moving to Slide 20 you will see a summary of our Corporate and Other. Adjusted EBITDA was a negative $8.1 million down 9.8% from the prior year quarter as we continue to manage corporate expenses effectively and 5% as a percentage of total revenues in line with our expectations. Moving on to our cash flow overview on Slide 21. Net cash from operating activities was a record $228 million a $29 million increase from the prior year. Capital expenditures were $67 million, an $18 million increase from 2020 as we continue to invest and innovate as well as refresh existing infrastructure. We spent $15 million on the FirstBank expansion and received approximately $1 million from the divestiture of our Ticketpop business. We paid down $42 million in debt and returned $39 million through share repurchases and dividends. No shares were repurchased in the fourth quarter. Our ending cash balance for 2021 was $286 million an increase of $65 million from year-end 2020. Moving to Slide 22. Our net debt position at year-end was $202.3 million comprised of $468.6 million in total long and short term debt, offset by $266.3 million of unrestricted cash. Our weighted average interest rate was approximately 4.5%. Our net debt to trailing 12-month adjusted EBITDA was approximately 1.4x down from 1.8x a year ago. As of December 31, our total liquidity which excludes restricted cash and includes borrowing capacity was $385.5 million up roughly $65 million from a year ago. Now turning to Slide 23. I'd like to review some of the financial impacts of the agreements with Popular. First, we are very pleased that we were able to extend our key agreements with our largest clients and shareholders as this creates certainty over the medium to long term with a significant portion of our business in Puerto Rico. These extensions are based on what we consider strategic areas of focus and growth. As Mac mentioned we have extended our Merchant Acquiring agreement through 2035, a 10-year extension from the original expiration in 2025 and a term of 13.5 years from today. This expansion comes with a revenue share to Popular that will better align our interest as we focus on innovation and work together to expand our share of payments in Puerto Rico and the Caribbean. This revenue share will be treated as an expense and will result in a decline to our MAB segment margin post closing. We have also extended our ATH network participation agreement with Popular through 2030, a 5-year expansion from the original 2025 expiration and an additional 8.5 years from today. This agreement further strengthens the number 1 form of payment in Puerto Rico with its largest issuer and ensures commitment to rolling out enhanced debit products that we expect will further advance our network's presence. Our MSA with Banco Popular has been extended through 2028 a 3-year extension from the original 2025 expiration and an additional 6.5 years from today. This extension gives us the opportunity to continue working hand in hand with our largest clients while also providing them with increased flexibility as they focus on customer experience. As part of this extension we have considered the 5% CPI for the 2021-2022 period that commenced on October 1, 2021. We will be retroactively crediting CPI to Popular once the transaction closes. This part of the agreement will represent a margin headwind for 2022, mainly in our Business Solutions segment and to a much lesser extent in our Payment Puerto Rico segment. Additionally going forward, we have reduced our CPI cap from 5% to 1.5% through 2025 on MSA services which are mostly reflected in our Business Solutions segment. As part of this agreement, we have also introduced minimums through 2028 aligning both of our interests in working together into the future and allowing us to focus on those areas where we want to grow and invest. As we execute on our strategic goals we have also decided to sell back to Popular certain assets that are solely used by them and aligned to their customer experience initiatives and that don't conform to our long-term strategy. These assets generate approximately $30 million in Business Solutions revenue on an annualized basis. The sale of assets and the MSA changes described will all result in a decline to our Business Solutions segment margin post closing. The sale of these assets will result in approximately $197 million in consideration to be paid with approximately 4.6 million shares of EVERTEC at an average price of approximately $43. This represents approximately 6% of our outstanding shares. Popular's ownership of our shares outstanding will decline from approximately 16% to approximately 10% upon closing of the transaction. Our agreement then provides for Popular to sell shares over the subsequent three months in the open market or convert the shares into nonvoting stock to reduce their voting interest to under 4.5% at which point as Mac mentioned, we believe we will no longer be deemed a subsidiary of Popular for purposes of the Bank Holding Company Act. This determination will enable us to be agile as we execute on our capital allocation strategy which has grown through M&A as its first priority. We expect to close this transaction by midyear 2022 at which point the extensions will also become effective. This transaction will be executed under our current credit agreement provisions without any need for an amendment. And we expect our leverage ratio to increase to approximately 1.5x adjusted EBITDA on an annualized basis. In all, the margin impact expected from the transaction will be in a range of 400 to 450 basis points post-closing distributed relatively even between our Merchant Acquiring segment and our Business Solutions segment. As we have always done, we will focus our efforts on driving efficiencies and growing our highly scalable products across all our regions to increase margin over time. With that I will move on to Slide 24 and provide our 2022 outlook which consider this transaction closing by midyear 2022. We expect our revenue to range between $591 million and $600 million and our adjusted earnings per share to range between $2.47 to $2.56. This assumes an adjusted EBITDA margin between 44.5% to 45.5% mainly impacted by the Popular transaction, a continued decline in the average ticket and spread a consumption behavior normalizes and foreign currency gains have benefited the prior year not expected for 2022. The effective tax rate is expected to range between 13% and 14%. Our GAAP basis earnings per share is anticipated to be between $1.84 and $1.93 excluding potential onetime effects from the Popular transaction. I will now highlight some of the key underlying assumptions that we have considered for this 2022 outlook. We expect our Merchant Acquiring segment to generate revenue growth in the low to mid-single-digit range. We're coming off a historic year in terms of overall growth, sales volumes and margin making 2021 a top comparable period. We will anniversary the FirstBank expansion in Q1. And although we continue to expect a benefit from increased sales volume in part driven by anticipated influx of federal funds these are anticipated to be at lower levels. Additionally, we continue to expect our average ticket and the mix of cards to continue moving towards pre-pandemic levels which will be a headwind to our spread on margin in 2020. Payment Puerto Rico revenue is expected to grow mid-single digits as we also come off a historic year in terms of transactions and more importantly the contribution from ATH Móvil and ATH Business in the previous year as a result of the pandemic and related relief funds. In 2022 we continue to expect growth to be mainly driven by POS transactions, as well as from our ATH Móvil products but at a more moderated pace. Additionally, some of our other business lines in the segment benefited last year from federal programs and stimulus that will not be available in the current year such as enhanced EBT. Payment Latin America revenue growth is expected to be in the mid to high teens driven by a healthy pipeline of business across the region, organic growth and the contribution from the BBR acquisition anticipated for the second half of the year. Business Solutions is expected to have a mid to high single-digit reset primarily driven by the Popular transaction. Regarding corporate expenses we expect these to approximate 5% of total revenue consistent with 2021 results. As it relates to our quarterly cadence January revenue grew approximately 6%. And based on the trends to this point we expect the first quarter will grow mid-single digits. Starting in the second quarter we expect to see the impact from the Popular transaction and in the second half of the year the effects of the BBR acquisition. Our operating depreciation and amortization is anticipated to increase to approximately $44 million to $45 million primarily reflecting our increased CapEx spend partially offset by the anticipated reduction from the Popular transaction. We are expecting an increase in our cash interest expense in line with market expectations partially offset by the impact of scheduled payments as well as the mandatory repayment made in 2021. As a reminder, approximately 50% of our debt has been fixed through an interest rate swap. This guidance assumes average diluted shares to be approximately 69 million for the full year and include the retirement of the share received in the Popular transaction without any additional share buybacks. Our capital expenditures for 2022, are expected to be approximately $60 million and reflect our ongoing investment in technology localization of our products in Latin America and continued investment in innovation. Our capital allocation strategy remains unchanged. We will continue to focus on growth investments internally as well as through M&A. While the timing of M&A is uncertain and we currently have a higher-than-normal cash balance we are constantly focused on evaluating our best use of cash. With that, operator please open the line for questions.
Operator: [Operator Instructions] Our first question today will come from Bob Napoli with William Blair. Please go ahead.
Bob Napoli: Thank you. A lot going on there. Nice quarter and good to see the extension trying to figure out all the effects of -- now on the EBITDA margin guidance that you gave for next year 44.5% to 45.5%, does that -- is that a full year impact or only a partial year impact of the change in the Banco Popular agreement?
Joaquin Castrillo: Hi Bob. So the 44.5% to 45.5% includes the impact of the Popular transaction taking effect midyear.
Bob Napoli: Okay. Because you said in your release 400 to 450 basis points of impact. I mean that 44.5% to 45.5% is a full year is -- I mean that would be a reduction of that amount from your run rate. So it's actually a reduction of more than that on a full year basis. So it's more like closer to on a full year basis 1000 basis points. So your ongoing EBITDA margin going into say 2023 all else equal is going to be closer to 40%?
Joaquin Castrillo: No Bob. So let me try to break it down for you a little bit better right? So in terms of our run rate if you look at where we're coming off Q3 Q4 that kind of gives you a data point as to more or less where we're running at. And what we're saying is post closing the transaction is going to have an impact of 400 to 450 basis points of that run rate right? So that kind of gives you a ballpark as to what we're seeing going forward.
Mac Schuessler: On an annualized basis.
Joaquin Castrillo: On an annualized basis correct.
Bob Napoli: Okay. Because you did 49% in 2021 on EBITDA margin.
Joaquin Castrillo: And I think as part of our remarks -- I'm sorry to interrupt as part of our remarks while we kind of gave some highlights right? One we benefited from some foreign currency gains this year that we're not expecting for next year. We're also expecting some of the trends in our Merchant Acquiring segment are coming back right to some of the pre-pandemic levels like the average ticket and the card mix as we start to see more travel. And those have a direct effect on margin and spread.
Mac Schuessler: So Bob this is Mac. So a part of what you're seeing in the margin in 2022 is the transaction with Popular and the impact. Part of it is the fundamentals and some of the changes in the business as we come off a really strong 2021.
Bob Napoli: Right. So as you think about '23 you're looking at an EBITDA margin in the low 40s a little over 40% or so is kind of what you're viewing as a normalized margin?
Joaquin Castrillo: Well I mean we're not going into 2023 guidance at this point. We're trying to kind of obviously dimension what the impact of this transaction is. And again I think if you look at where we're running Q3, Q4 and then the impact of the basis points we just mentioned you kind of get an idea.
Bob Napoli: Okay. So from 3Q, 4Q less 400 to 450 basis points is what you view as your normalized EBITDA margin. The revenue effect on '22 from the changes on a full year if it was on a full year basis, what is I guess the primary revenue effect? Is it revenue share?
Joaquin Castrillo: Right. So the other component Bob just to be clear right the revenue share won't impact the top line. So that will be treated as an expense in our Merchant Acquiring segment. And that is the impact that is included in the 400 to 450 basis points post closing that we just discussed. In terms of Business Solutions, the top line effect is about $30 million which is an annualized number for the assets that we just sold.
Bob Napoli: Okay. In which you're getting the stock reduction -- the share count reduction?
Joaquin Castrillo: Right. And in terms of -- just to be complete right? In Business Solutions you will also have a margin impact because of the sale of those assets and also the CPI concession.
Bob Napoli: Okay. Thank you. Appreciate it.
Operator: Our next question today will come from James Friedman of Susquehanna. Please go ahead.
James Friedman: Hi, congratulations on a great quarter and a great year a lot of work here. I remember there used to be some minimums on the Santander contract as well. And then I thought that when you were in full production mode, you relieved those minimums. I may be saying it wrong. But how are you thinking about the Santander because that's a good one for 2022?
Mac Schuessler: Yes. So Santander had some minimums this year and for the duration of the contract. And that was so -- that as the contract ramped, we'd still be able to make money in the first year given that we're the processor. And so we'll benefit from that through 2022 2023 for the duration of the contract.
James Friedman: Got it. Okay. And then in terms of some of your comments about the ticket size because that is always real relevant for your yields. Could you just walk through maybe step some of the dynamics again? I know you said it already but if you could kind of refresh how you're thinking about that? Thank you.
Joaquin Castrillo: Sure Jamie. So I mean in terms of the puts and takes on Merchant Acquiring right this past year and we kind of put a slide of us to some of the federal benefits that flow to Puerto Rico. We saw obviously a ramp-up in consumption and a really high average ticket. In addition to that because of some of the travel restrictions we saw a shift towards more local transactions that also yield a higher spread for us and a shift to debit which is also a more profitable product overall for us. As we start to move into next year some of those variables like Fed funds although we're expecting a continued benefit from them is going to be lower than what we saw in 2021. We're seeing the average ticket continue to slow down or start to normalize on a sequential basis. And that's something that we are expecting to see going forward. And then obviously travel has come back. So we're starting to see some of those international cards also hit Puerto Rico and that is impacting the yields. So I think those are the three main things that we're looking at.
James Friedman: Got it. I will jump back in the queue. Thank you.
Operator: Our next question today will come from Vasu Govil of KBW. Please go ahead.
Vasu Govil: Hi, thank you for taking my question and congratulations on the extension of the BPOP contract. I also love the new slides on Puerto Rico so thank you for that as well. Just first question for you Mac on just the BPOP extension all good stuff. Just on the slight modification on the exclusivity part. Any sort of comment on what BPOP's thinking was there? And is that potentially a risk long term with the scope of the relationship on the Business Solutions side?
Mac Schuessler: Yes. So let me explain to you how the exclusivity works today. Today -- and then I'll explain how it's going to be under sort of the new contract after we close. Today there's a set of services that are exclusive to EVERTEC. And that's whether or not we perform the service today or whether or not in that category of services there's something new that they want to do. And if they want to do something new in those services they actually have to go through a process with us to give us the first right of refusal. And it may be that we don't have the software that performs the service, we may not have the type of applications. But they still have to go through the process with us even though that service may be better with somebody else. So it creates friction in the relationship right? So under the new deal if there's stuff that makes sense somewhere else and it's going to end up at another vendor regardless of going through the ROFR process they'll be able to do it more quickly. So it's better for the commercial relationship. On the existing services where we're performing them today we know there are things that they want to do either with another vendor or themselves. And those are primarily the assets that they purchased. That was why we sold some of the assets. We got a pretty good price for them and we exchanged shares right? Going forward there may be -- I mean we worked really hard in the past. We've increased our SLAs. We've invested in infrastructure. And now we've been pretty aggressive on pricing by giving up CPI and making some other accommodations so that in the future the services that we have today we hope to keep as much as possible. Now there will be some things down the road that they may want to leave, but there are also things that we're not doing today that we believe would be well performed by EVERTEC. And so those minimums give us the opportunity as now we're performing at a high level. We're performing -- or we provide a very competitive pricing that we can manage through that over the next 6.5 years. We ultimately have worked really hard over the last five years to be a provider they want to do business with not have to do business with. And I think when you look at the fact we were able to get a 10-year extension on MAB five years on ATH and frankly three years on the MSA services we think we're building a competitive organization that EVERTEC will -- that Popular will do business with for a very long time.
Vasu Govil: No that all makes sense. I guess my follow-up is for Joaquin just on the guidance. I know -- just if you could lay out how you thought about all the variables. Stimulus is obviously a tougher comp issue for you guys. There's some probably inflation impact. Just how should we think about what could be the upside drivers versus downside drivers versus the outlook that you've laid out? But historically obviously you have a solid track record of being really conservative?
Joaquin Castrillo: Look I mean yes Puerto Rico and all the different moving pieces have been complicated to try and dimension right? Again, I think we are working off of a backdrop that's better than it's been and that is a positive. But the reality is we did see a significant amount of funding coming to Puerto Rico last year and a type of funding that were going directly into people's pockets. I think we've laid out some incremental funding that's expected coming to Puerto Rico this year like the child tax credit and the employment credit that is also directed into people's pockets. But some of the incremental funding that's expected continues to be reconstruction infrastructure etcetera. And these are again funds that we've been waiting for some time. We continue to see progress on the government working towards putting a lot of money to work. And some of the trends that we're showing from an employment perspective from an economic activity index perspective are starting to reflect that. So I think we're optimistic that we'll see some outflow through in some of our Payment segments. And when we think about Latin America as we said we have a very good pipeline. We're still expecting high teens to -- high-teens growth. And -- but those are the main aspects.
Vasu Govil: Great. Thank you very much.
Operator: Our next question will come from James Faucette of Morgan Stanley. Please go ahead.
Jeff Goldstein: Hey guys. This is Jeff Goldstein on for James. Thanks for taking my question. On the Mercado Libre relationship now that we're approaching a year since the onset of that partnership just any sense on the ability to further expand that contract whether into new services or geographies? Just how are you thinking about that opportunity?
Mac Schuessler: Sure. So we're very focused on with Mercado Libre specifically not announcing deals until they're actually in production. But what I can tell you is, we've exceeded our expectations and exceeded theirs as we talked about earlier on the call. And we're very, very confident that that's going to lead to both geographic and product extensions with that partner. So it's we're incredibly excited about working with them.
Jeff Goldstein: Got it. That's helpful. And then just in thinking about your internal investment priorities for '22, can you just talk about key focus areas whether it's new capabilities or new geographies? Just how should we think about that? And then if I could sneak one more in. Just thinking about the margins for next year, any broad strokes on how we should think about margins by segment? Thanks.
Mac Schuessler: Sure. So I'll take the first part of the question and then let Joaquin sort of give his thoughts on that and then answer the margin question. So capital allocation we are very focused on growth. As you notice our footprint, we now have a great footprint in South America and Latin America generally. We're excited about our products the PAYS platform that we've rolled out for Mercado Libre for Santander in Chile and now we're going to roll it out within Uruguay. Place2Pay our gateway we've localized in many countries throughout the region. So we do feel like we have a more competitive product set than we've had in the history of the company as it relates to Latin America. We are still very focused on M&A. And we do believe now that we have such a good balance sheet. We have -- now with these extensions we have great certain cash flow that we can continue to lever. And now that we get rid of this regulatory contingency, we will be very focused on M&A and M&A in the region that same to historical things. There are three types of M&A we always look at one that takes advantage of the leverage and scale that we have the other that gets us into new countries and the other provides new products. Outside of that we'll also be focused on -- we just authorized or increased our buyback to $150 million. So, we'll be focused on capital allocation throughout the year.
Joaquin Castrillo: And then on the margin question just to clarify right the 400 to 450 basis points that we mentioned on the call is the impact of all the different factors in the Popular transaction that we just walked through right? So that is the post-closing impact of the whole deal. Now in terms of how to look at this going forward and kind of going back to what I mentioned to Bob if we take that post-closing impact and we take a look at kind of where we're coming off in Q3, Q4 that kind of gives you a baseline as to what our overall margin should be post deal. Now in addition to that the way we're looking at it going forward, if we break it down and talk about bucket from a revenue perspective, about 25% of our revenue is really subject to these reduced CPI cap. The other 75% of that is comprised of our Merchant Acquiring revenue our ATH Móvil business revenue which actually have a hedge against inflation because sales volume continued to increase. We have our ATH revenues which are subject to our 5% CPI cap and then all of our other business where we have pricing levers that we will continue to use strategically when needed. From an expense perspective, our plan is to continue leveraging our footprint and labor arbitrage getting some jobs in different regions where we can maximize our presence in some of these countries and then work with suppliers locally some of our key suppliers as we've been doing actively to try and get better terms for longer contracts -- as has been the case even with our landlord here in Puerto Rico which we're working with to reduce our CPI cap going forward. And look if we look strategically what we've done we've always been very margin-focused. We've been able to expand margins. And that's been done because we've been investing in our probatory technology and in our Payments segment. So the plan here is to get ourselves in a position to again expand margin over time.
Mac Schuessler: And I think Joaquin, an important point. It's investing in things that we can leverage. A couple of quarters ago we sold Ticketpop. That was not a scale business. It didn't have a lot of opportunity. The four asset -- I mean the assets that we sold today, it's more than 4 but the applications that we sold to Popular were things that didn't have leverage and scale. We couldn't use them with other customers. We couldn't use them outside of Puerto Rico. So, as we invest in PAYS and Place2Pay the margin on those should be accretive because we can leverage those throughout the region.
Joaquin Castrillo: The only thing I would add and I know you mentioned the margin by segment is right the -- and we said this in the remarks. Most of the impact here is between our Merchant Acquiring segment and our Business Solutions segment. The Merchant Acquiring segment because we have the RevShare and then on the Business Solutions segment because of the sale of these assets, plus the impact on the lower CPI cap. And just to kind of give some ballpark I mean our expectation post-deal is for MAB to have low to mid-40s type margin and for Business Solutions to be in the low 40s margin. So that kind of gives you a ballpark from a segment perspective of where we're going to see the impact.
Jeff Goldstein: Got it. Thank you. that was all very helpful color.
Operator: [Operator Instructions] Our next question today will come from John Davis of Raymond James. Please go ahead.
John Davis: Hey good afternoon guys. Joaquin I'm just going to beat a dead horse here just on the outlook and the impact of the transaction with BPOP, but maybe look at it a different way. By our math as you call it, $24 million of EBITDA call it 8%. And so, if I think about the $30 million top line is it fair to say, we're looking at like $0.20 to $0.22 of EPS impact or more or less kind of breakeven EPS neutral is the right way to think about it? I just want to put a finer point on the EPS impact that the transaction has on the '22 outlook?
Joaquin Castrillo: Can you repeat that John? I was trying to follow the different...
John Davis: Yes. Sorry. So really like so given the $30 million top line and the revenue -- or sorry the margin impacts you called out our math is it's roughly a $24 million headwind to EBITDA which is about 8% of your EBITDA. And so once I take it down all the way to EPS I'm getting somewhere kind of in the low $0.20 range like call it $0.20 to $0.22 of headwind from this transaction and the outlook. I just wanted to kind of maybe focus a little bit on the EPS impact that you guys have included from this. We talked a lot about margins and top line, but I just want to make sure I'm not missing anything on the bottom line?
Joaquin Castrillo: No. I mean we haven't broken it down in that way. And John I think the way to think about it below EBITDA from a tax perspective etcetera when you're getting to EPS right there aren't really any significant impacts. So I think if you're taking into consideration kind of the impact from a margin perspective everything underneath and taking into consideration obviously the retirement of the almost $5 million shares that we're going to receive that should give you the EPS effect. But giving you the absolute number of cents that's not how we've broken it down.
John Davis: Okay. Fair enough. And then Mac bigger-picture question here. Clearly you highlighted one of the positives here is no longer being considered a bank holding company subsidiary. How much of an impact has that had on M&A over the last couple of years? You guys obviously have a very good balance sheet and really good free cash flow generation. So just trying to understand like can we expect the pace of M&A to improve? Behind the scenes how much of a hang-up has that been? And can we expect some of the acceleration from an M&A perspective once that's removed?
Mac Schuessler: Sure. It's a great question. So what I would say historically it hasn't been that much of an impediment because we've been very focused on tucking in deals where we could take it exclusive and really leverage those across the company. So we bought great products. We've entered countries. And so, it hasn't hindered us in the past. What I would say in the future that given we do have such a great cash position and a great balance sheet and now we have these extensions where we have very certain cash flow that we can lever we believe -- and given that M&A is becoming more and more competitive generally, we do believe that it could have been a challenge in the future. So this is the right time to get this deal done to get the certainty of cash flow to get this regulatory hurdle out of the way because we think it really does open up opportunities for the future.
John Davis: Okay. And just remind us I think comfort range on leverages somewhere in the two to 3x ZIP code?
Joaquin Castrillo: That's right.
John Davis: And then last question for me. Just I think Mac you mentioned the success of ATH Móvil and Business in 2021. Just curious if you guys have any kind of updates or stats you can share on the success and traction you had there or how that's kind of trended more recently or maybe a full year 2021 number? Just any kind of update there would be helpful?
Joaquin Castrillo: Yes. I mean John what we can say is -- and I think we've been giving some update to the contribution. ATH Móvil is becoming almost 3% of our total revenue at this point. So it's starting to become a little bit more material. It grew 27% this last quarter. As we mentioned obviously, we're entering some pretty tough comps just because so much of ATH Móvil traffic that we saw when the pandemic was still pretty active, we started to see more kind of physical activity here towards the end of last year. So I think we're still expecting good growth from these products right? That digital adoption is here to stay. But we've been clear that we don't necessarily expect those high growth rates to sustain as kind of we went back to a more normal state.
John Davis: Okay. Appreciate it.
Joaquin Castrillo: Thank you.
Operator: Ladies and gentlemen at this time we will conclude our question-and-answer session. I'd like to turn the conference back over to Mac Schuessler for any closing remarks.
Mac Schuessler: Thank you. Again, I want to thank all of my colleagues. I'm incredibly proud of what we've accomplished. As we look ahead, I'm delighted the Board has extended my contract with the company for the next three years. Together we look forward to the growth ahead. Also, I want to thank everyone once again for joining us on today's call. We look forward to speaking to you at conferences in the coming future. Operator, please close the call.
Operator: Thank you. The conference has now concluded. And we do thank you for attending today's presentation and you may now disconnect your lines.